Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Silver Wheaton's 2012 third quarter results conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I would like to remind everyone that this conference call is being recorded on Monday, November 05 at 11:00 a.m. Eastern Time. I will now turn the conference over to Mr. Patrick Drouin, Vice President of Investor Relations. Please go ahead.
Patrick Drouin: Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Silver Wheaton’s President and Chief Executive Officer, and Gary Brown, Senior Vice President and Chief Financial Officer. I would like to bring to your attention that some of the commentary on today's call may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. Please refer to the section entitled Description of the Business Risk Factors in Silver Wheaton’s annual information form which is available on SEDAR and in Silver Wheaton’s Form 40-F on file with the U.S. Securities and Exchange Commission. The annual information form sets out the material risk factors that could cause actual results to differ including the assets that control our mining operations from which Silver Wheaton purchases silver, risks related to such mining operations and the risk of decline in silver and prices. Lastly, it should be noted that all figures referred to on today's call are in U.S. dollars unless otherwise noted. Now I would like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Patrick, and good morning ladies and gentlemen. Thanks for dialing in to our third quarter 2012 shareholders conference call. We are very pleased to report that another strong quarter of production puts on track for what's going to be Sliver Wheaton’s best year ever. Solid performance from our portfolio of mines which now includes the 777, has resulted in record quarterly silver production putting us well on track to reaching this year’s production forecast of 28 million silver equivalent ounces. During the quarter, we closed the previously announced Hudbay transaction and beginning in August started realizing production from Hudbay’s flagship 777 mine located here in Canada. In addition to 777, we remain very positive on the progress being made by Hudbay at its Constancia project down in Peru. And we look forward to this mine contributing to our industry leading growth profile, which based on our current agreements, we forecast will grow to 48 million ounces by 2016. This represents a five-year increase of over 70% in production. Today we also announced our fourth quarterly dividend of 2012, $0.07 per share. Our unique dividend policy offers exposure to our industry leading growth and given our fixed cost business model, it also offers direct leverage to the silver price. Finally, despite paying out over $600 million in the quarter, which was made up from our first payment to Hudbay and our last payment to Barrick for the Pascua-Lama project, we maintained an exceptionally strong balance sheet and continued to pursue further growth through new value enhancing acquisitions. As I mentioned, in the third quarter of 2012 we achieved record production of 7.7 million silver equivalent ounces, an increase of over 25% relative to a year ago. While production was at record levels, due to the timing issues of some of our mines, silver equivalent sales was only 5.1 million ounces. As a result we saw a significant number of silver equivalent ounces produced that will be recognized in future sales. As a result of the lower sales and lower silver prices, revenues and operating cash flows were down year-over-year. Cash operating margins, however, remained exceptionally strong and over 87%, amongst the highest in the industry. More detail on the financials will be provided shortly by our Senior Vice President and Chief Financial Officer, Gary Brown. On the operations front, our diversified asset base once again achieved strong production with notable contributions from Yauliyacu, Zinkgruvan and Minto. We also saw initial production from the 777 mine, which helped secure our strongest ever quarterly production result. At the Peñasquito mine, gold conditions continued to impact production with Q3 throughput averaging around 100,000 tons per day below the full design capacity of 130,000 per day but within the near-term forecast of 98,000 to 107,000 tons per day until the water issues is resolved. Goldcorp did commence a water and tailings study here in Q3 which will look at ways to manage and optimize long-term water constraints and capacity. They anticipate completion of this study in the first half of next year. With respect to San Dimas, subsequent to quarter end, Primero announced both a positive advanced tax ruling from the Mexican tax authority, as well as the intent to proceed with a staged expansion approach moving to 2,500 tons per day by the first quarter of 2014. We view this as a very positive indication for this mine as it strengthens one of our key partners and secures additional production growth for Silver Wheaton. At Pascua-Lama, Barrick has provided further clarity on the development of the projects slated for startup in the second half of 2014. Along with construction advancements at site, Barrick announced the hiring of Fluor to assume overall project management. We are pleased to see this development given Fluor’s success with Pueblo Viejo as well as their extensive experience and success and building other mines in high altitude in South America including Barrick’s three other operating mines. Despite the delay, Pascua-Lama, still remains a world class project and will be one of the best gold-silver mines in the world ones it begins operations. And we look forward to receiving that. About 9 million ounces per year, with the 25-year mine life where we get 9 million ounces per year over the first five years from Pascua-Lama. So it’s definitely an important part of our growth. In addition, Silver Wheaton, will continue to receive silver from three of Barrick’s currently producing mines to the extent that Pascua-Lama is running below 75% of design capacity or the end of 2013, whichever is later. On the corporate development front, we continue to be very active in evaluating new accretive deals and believe the market remains very favorable towards Silver Wheaton’s alternative form of funding. As the Hudbay deal illustrated, our focus remains solely on pursuing high quality streaming opportunities with strong operating partners. Essentially, we look for long-life, low-cost operations with strong management teams that can survive all phases of the commodity price cycle. We also look for assets that have exploration or expansion upside as this is key to increasing the streaming’s value. While we believe there is a place for streaming in any market given it’s unique benefits and flexible nature, we think the value of this form of funding is particularly strong in this current market where access to traditional forms of financing such as debt and equity remains very challenging. Silver Wheaton continues to be exceptionally well positioned to capitalize in the current market given our strong balance sheet. Targeting high quality assets from advanced exploration all the way through to operating mines. And with over $550 million cash on hand after the Hudbay transaction, a fully undrawn $400 million revolver and strong future operating cash flows, we are exceptionally well positioned to continue growing our portfolio of precious metal streams. So in summary, our record production levels in the third quarter put us well on track to achieve silver equivalent production of 28 million ounces in 2012 and increasing to 48 million ounces in 2016. This represents one of the strongest growth profiles in the precious metals sector. While sales in the quarter were well below production, we expect to see this reverse in the near-term as those ounces produce, work their way through the production pipeline and they are ultimately sold. In fact, we have traditionally seen a reduction of inventory in the fourth quarter of every operating year as our partners clean up for the year-end. And as such, we are confident that our revenue and cash flow will more correspond to our true growth profile in the coming quarters. We remain focused on growth and will vigorously pursue additional opportunities in 2012 to further expand our portfolio of high quality income generating assets. And with currently more than $1 billion in capacity, even after completing our first payment to Hudbay, we are one of the strongest balance sheets in the industry and are very well positioned to achieve our goals. Our business model ensures that we can guarantee margin delivery in a rising silver pricing environment. And with our current high quality portfolio, an accretive growth potential, we firmly believe that we continue to offer the premier investment vehicle for silver and precious metals investors worldwide. With that, I would like to turn the call over to Gary Brown, our Senior Vice President and Chief Financial Officer, to provide a bit more detail. Gary?
Gary Brown: Thank you, Randy, and good morning ladies and gentlemen. Prior to reviewing Silver Wheaton’s unaudited financial results for the three months ended September 30, 2012, I would like to remind everyone that all monitory figures discussed are denominated in U.S. dollars unless otherwise noted. Silver Wheaton’s third quarter was marked by record setting silver equivalent production with sales volumes lagging as a result of the concentrate and doré shipments at our partners mining operations. The company’s precious metals interests generated $7.7 million silver equivalent ounces of attributable production in the third quarter of 2012, 15% higher than the prior quarter, attributable primarily to the inclusion of the production from Hudbay’s 777 line from August 1 and 26% higher than the prior year, due primarily to record production from Peñasquito as well as the inclusion of precious metal production from 777. Payable sliver equivalent ounces produced but not yet delivered by our partners increased by approximately $2 million ounces during the third quarter to $5.2 million ounces, primarily attributable to concentrate buildup at Yauliyacu, Peñasquito and 777. It is important to recognize that these ounces will be delivered to and sold by Silver Wheaton in future periods. Had these timing differences not occurred, Silver Wheaton would have generated record sales volumes in the third quarter of 2012. However, as a result of the increase in silver produced but not delivered to Silver Wheaton, sales volumes remained at 5.1 million silver equivalent ounces consistent with the comparable quarter of the prior year but 26% lower than Q2 2012. Revenue for the third quarter of 2012 amounted to $161 million with an average realized selling price of $31.36 per silver equivalent ounce sold. This represented a 13% decrease from Q3 2011 attributable entirely to a decrease in the price of silver. Earnings from operations for the third quarter of 2012 amounted to $125 million compared with $150 million in the prior year, with operating margins decreasing by 4% to 78%. Cash based G&A expenses were $5.2 million from the third quarter of 2012 with a $600,000 increase from the comparable period of the prior year, being attributable to increased personal costs. The company continues to expect cash based G&A expenses to be in the $23 million to $25 million range for 2012. Net earnings amounted to $120 million in the third quarter of 2012 compared to $135 million in the prior year with basic earnings per share decreasing to $0.34 per share from $0.38 per share. Our operating cash flow for the third quarter of 2012 decreased by 23% from the prior year to $129 million, or $0.36 per share, resulting in a dividend to be paid in Q4 2012 of $0.07 per share. During the third quarter of 2012, the value of the company’s long-term investment portfolio and shares of other publicly listed mining and mineral exploration companies increased by $42 million, which has been reflected in the statement of other comprehensive income. The operational highlights for the third quarter of 2012 included the following. Yauliyacu produced 640,000 ounces of silver representing a slight increase from both the prior quarter and the comparable quarter of the prior year. However, silver produced but not delivered relative to Yauliyacu increased by approximately 400,000 ounces during Q3 in 2012, resulting in silver sales of 184,000 ounces. This represented an 84% decrease in sales volumes from Q2 2012 with the prior quarter reflecting the sale of approximately 600,000 ounces of silver produced in previous quarters. This inconsistent delivery schedule is largely attributable to the shutdown of the La Oroya smelter in 2009, which historically was the largest buyer of the bulk concentrate produced by Yauliyacu. As a result, Glencore replaced the bulk concentrate with separate copper and lead concentrates which they began producing in 2011. However, in Q3 2012, Glencore was able to establish new offtake agreements for the sales of bulk concentrate and as a result has returned to the production of such concentrate. It is expected that this should result in more consistent delivery of silver in the future. Peñasquito generated record attributable silver production in excess of 1.9 million ounces during the quarter, representing a 67% increase from the prior year attributable to higher grades and recoveries. This record level of production was achieved in spite of plant throughput being constrained by the continued impact of water shortages reducing throughput to approximately 100,000 tons per day during the third quarter of 2012, less than 80% of the designed capacity. Goldcorp has indicated that they continue to drill additional water wells and have initiated a water and tailings study to remedy this water constraint issue. Silver sales relative to Peñasquito amounted to 1.3 million ounces, lagging production due to the timing of concentrate shipments. With payable silver produced but not delivered to Silver Wheaton, increasing by approximately 500,000 ounces during Q3 2012 to 1.6 million ounces. The 777 mine generated production of 733,000 silver equivalent ounces during the third quarter of 2012 representing the first reported production from this mine since the closing the transaction with Hudbay on September 28. However, due to the timing of base metal concentrate shipments specifically related to the filing of the production in shipping pipelines, none of this production translated into sales in the quarter but rather increased the quantity of payable silver equivalent ounces produced but not delivered by approximately 700,000 ounces. The first deliveries of silver and gold related to 777 were received by Silver Wheaton on October 3, 2012. In summary, silver and gold produced but not delivered from Yauliyacu, Peñasquito and the 777 mine increased by approximately 1.6 million payable silver equivalent ounces during Q3, again it is important to stress that this is simply attributable to the timing of concentrate shipments and as such the precious metal will be delivered to Silver Wheaton in future periods. Overall, the company's cash balances decreased by $547 million in the third quarter of 2012, comprised of $129 million of cash generated from operations, offset by $37 million of cash outflows attributable to financing activities and $638 million of cash outflows relating to investing activities. Financing cash flows included $7 million of debt repayments and $35 million of dividend distributions, while the cash flows relating to investing activities consisted of the $500 million upfront payments relating to the Hudbay transaction and the final payment of $137.5 million relating to the Barrick transaction. As of September 30, 2012, the company had $555 million of cash and cash equivalents on hand, and $57 million of debt outstanding under the term loan facility. This cash balance combined with the $400 million of available credit under the company's revolving credit facility and strong future cash flows, positions the company well to satisfy its funding commitments and sustain its dividend policy while at the same time executing on its growth strategy. Lastly, there has been no substantial change in the status of the Canadian tax audit of the company's taxation years 2005 to 2010 by the Canada Revenue Agency. Again, I would stress that this is simply a normal course review and the company remains confident in its structure. That concludes the financial summary and with that I would turn the call back over to Randy.
Randy Smallwood: Thank you, Gary. Operator, we would like to open up the call for questions now, please.
Operator: (Operator Instructions) Your first question comes from the line of Dan Rollins from RBC Capital Markets. Your line is now open.
Dan Rollins - RBC Capital Markets: Randy, I know you discussed the potential differences for -- timing differences between production and sales, but can you give maybe sort of on average with the sliver you receive in concentrate, what the typical lag time is between production and sales?
Randy Smallwood: Yeah, I mean it depends on the asset. Where the asset is located and how far -- what type of shipping required. Obviously, if there is a smelter close, ala Yauliyacu and La Oroya, you don’t have the shipping and time issues. But one of the things with 777 in Canada is that some of their concentrates do get shipped quite a distance. And so there is a difference in lag time. We typically see us -- we try and schedule in about a month to two months depending on the project and obviously with no sales it’s going to be sort of, 777 this quarter, it was about 2 months. I don’t think it’s going to be 2 months long-term with 777, I think it’s going to be a little bit shorter than that. But it’s typically between a month and two months depending on the asset location.
Dan Rollins - RBC Capital Markets: Okay. Just given the size of Peñasquito, what's the typical lag time there?
Randy Smallwood: You know the Peñasquito produces a number of different concentrates and some of them are sold within Mexico and some of them get shipped overseas. And so I would probably call that one an average one. It’s taking at about 1.5 months. Some of the stuff within Mexico goes faster but some of it does take longer. So it all depends which destination. They produced so much concentrate there that they have multiple clients.
Dan Rollins - RBC Capital Markets: Okay, perfect. And then just with Yauliyacu, now that they switched back over, I guess maybe I am not sure, but it’s back to the bulk con or a proportion to the bulk con is still the separate copper and light cons. Do you expect you will see, starting in Q4, a more consistent profile between production and sales or should we expect that probably more in Q1?
Randy Smallwood: Well, I mean obviously if the La Oroya smelter, which we understand has restarted but it’s only processing zinc concentrates right now, there is some discussion about it possibly, maybe being able to handle. So that would be a real benefit to us in terms of moving bulk concentrates. But we haven’t heard anything positive on that. The reason Glencore went back to producing the bulk concentrates is, it is slightly cheaper for them, there is better payable terms compared to the individual lead and copper concentrates, and that they have secured some offshore agreements that they feel they can now start moving the stuff on a more regular basis. So I think it would be better than what we have seen but there is still probably some room for improvement.
Dan Rollins - RBC Capital Markets: Okay. Perfect. And Gary, I know you said there is no new information on the tax audit, but do you sort of have any idea of how long it might take to conclude or is this probably going to drag into 2013?
Gary Brown: Given that we are in November here, I wouldn’t be surprised if it dragged into 2013. But we really don’t have a lot of visibility on that, on the timing.
Operator: Your next question comes from the line of Cosmos Chiu from CIBC. Your line is now open.
Cosmos Chiu - CIBC World Markets: Got a few questions here. In terms of Yauliyacu, following up on Dan’s question, the inventory that’s currently sitting on site, how much of that is the separate concentrates versus the bulk concentrate?
Randy Smallwood: So I don’t have the breakdown here right in front of me but....
Cosmos Chiu - CIBC World Markets: Is it mostly the separate concentrates?
Randy Smallwood: No, actually it’s well over -- we had a big shipment of the separate concentrate last quarter and so I would say the bulk of it is bulk concentrates, no pun intended there.
Cosmos Chiu - CIBC World Markets: So if it’s mostly bulk concentrate then it should benefit the fact that -- well, the fact that Silver Wheaton has or the, sorry, Glencore has a, or a contract now for the new bulk concentrate should benefit the sale of bulk concentrates?
Randy Smallwood: Yeah, it’s right. Yeah, we have already seen the shipments. We have already shipments out of Yauliyacu this quarter so we have definitely seen a benefit there.
Cosmos Chiu - CIBC World Markets: Okay. And then in terms of the 5.2 million ounces in total inventory. Just want to confirm, you have applied a payable factor to it, right? So that 5.2 million ounce number would translate into future sales number over a period of time, of course.
Randy Smallwood: That’s correct.
Cosmos Chiu - CIBC World Markets: But that’s a payable number.
Randy Smallwood: That’s correct, yes.
Cosmos Chiu - CIBC World Markets: And then maybe this is a question for Gary here. The income tax expense, I found it was a little bit lower than previous quarters in Q3. Is that due to the 777 mine contributing in the current quarter or is it just a one off?
Gary Brown: Cosmos, that’s a -- the reason it’s lower is, when our portfolio of long-term investments increases in value, we recognize that tax expense in the -- a deferred tax expense in other comprehensive income. And that allows us to recognize the benefit of some of our capital loss carry-forwards which then allows us to recognize the deferred tax asset in the statement of earnings. So it reduces -- that recognition of the deferred tax asset reduces the deferred tax expense that we are recognizing in the regular statement of income.
Cosmos Chiu - CIBC World Markets: So it’s mostly a one off?
Gary Brown: Yeah. I mean I wouldn’t consider or connote it as a one off. We are going to continually see fluctuations in the value of that portfolio of long-term investments and that’s going to continually affect the income tax expense recorded in our statement of earnings.
Cosmos Chiu - CIBC World Markets: And Gary, can you remind again in term of 777 mine, that how, if there is any kind of impact on your taxes and how you account for taxes given that the asset is based in Canada?
Gary Brown: Yeah. I mean ultimately the income generated from all of our Canadian operations will be subject to Canadian taxes. So we would, and we do have a loss carry-forward position in Canada that results in us not paying taxes currently but we recognize deferred tax expense on that income at about 25% rate.
Operator: Your next question comes from the line of [Scott Griber] from BMO Capital Markets. Your line is now open.
Unidentified Analyst: In the other category, there is difference between the amount sold and the amount produced. Which operations made for that differential?
Randy Smallwood: The amount sold and the amount produced. Well, amount sold is actually a payable number so there is going to be a differential in terms of -- produced is what's being actually mined out of the and produced out of the concentrate. Whereas payable -- sold is what gets paid back. So we typically see, depending on the projects, we typically see sold numbers being about 90% to 95% of the produced number.
Unidentified Analyst: Okay.
Randy Smallwood: I think if that’s what you are asking, the difference between those two numbers, yeah.
Gary Brown: And you have to remember that 777 silver production is included in that other category.
Unidentified Analyst: Okay. 777 silver, okay.
Randy Smallwood: So that also added to a bit of a discrepancy there in terms of a bump in inventory from those silver being sold but silver being produced at 777.
Operator: (Operator Instructions) Your next question comes from the line of (inaudible) from JPMorgan. Your line is now open.
John Bridges - JP Morgan: Hi, John Bridges. Just wondered, I got some chatter from the market this morning that people were a little bit disappointed with the pullback in the dividend and I just wondered if you’d heard any of that and if that might perhaps affect your plans with respect to how much cash you hold on the balance sheet and where they might smooth out the dividend over time?
Randy Smallwood: Yeah, John, our dividend is unique in that it’s tied directly to your cash flows and so some quarters our cash flows are up and another quarters they might be a little bit down, like this one where our sales were back up by timing of sales -- by timing of actually selling their product. And so keeping tight with that policy means that there are going to be little bit of up and down and we think there is going to be more up than down. And so that’s why we have maintained it at that level and we did see the dividend come down in this quarter. I can tell you that the fourth quarter looks a lot better simply because the nature of the most mines is that they try and clean out the whole system in the fourth quarter. So we typically see a squeezing of inventory over the fourth quarter to try and improve year-end results. That combined with the -- some of the missed sales, we have already seen some good deliveries from all the mines that were just off in timing and increased the inventory in the third quarter. So the other side to that equation is of course we have two places to put our money in, and that is dividends and the other one is corporate development. And we see so many opportunities right now in front of us that we just feel that keeping the policy consistent at 20% of operating cash flows will still allow us to take advantage of some of these opportunities we have in front of us right now.
John Bridges - JP Morgan: Just following on, on that. You know at the margin, new investors in your stock, are they all still focused on that growth or are you picking up more, you have seen some people who like the dividends possibly over and above the growth?
Randy Smallwood: Yeah, and I don’t know if there is a black and white answer to that one. Obviously a company will continue to growth just by virtue of its production growth. That dividend will grow because it is tied to cash flow. And so there is no doubt that longer-term our dividend is going to look very very appealing and probably attract more and more investors on the outside. At the same time in this market, the opportunities for picking up mines like Hudbay’s, 777 and Constancia, there is no doubt that adds value to our shareholders too. And so it’s going to be a blend. I think as our production climbs up our dividend will grow just by virtue of the fact that it’s connected to cash flows. And I do see, as our maturing, that dividend will grow even longer-term as we continue to climb up. But we just see so many growth opportunities right now where we add value back that I think our shareholders are pretty supportive so far. We haven’t had any real pressure with respect to the dividend. I think people understand the benefits of having it connected to the cash flow too.
John Bridges - JP Morgan: Okay. Thanks for the color. It’s obviously quite a conundrum. Good luck guys.
Operator: Your next question comes from the line of John Flanagan from Fundamental. Your line is now open.
John Flanagan - Fundamental Equities: I was wondering, in regard to Pascua-Lama whether you have been disappointed with the progress or lack thereof and how confident are you that they can bring this thing in in 2014? And secondly, is it your feeling that they are getting less or more government distress?
Randy Smallwood: At Pascua-Lama?
John Flanagan - Fundamental Equities: Yes.
Randy Smallwood: First of all, I will answer the first one. Just to reiterate, our agreement with Barrick at Pascua-Lama is that we continue to get the silver from the other three mines until Pascua-Lama get to 75% of expected production levels. And so these delays, we are pretty well compensate for these delays. And it actually works very well for us. We are comfortable with the path that Barrick is taking. We have been following it obviously very closely. It is a challenging site and jurisdiction but it is an area with Barrick bringing to Fluor to manage the contract or manage the construction itself. They have got lots of history with Flour. They just had success with Fluor and Pueblo Viejo. Fluor also ran EPCM for all the other three mines they have. The three higher altitude gold mines they have down in South America. And so I do think that this is going to really firm up quite nicely. It is an incredible asset, especially the first five years it’s going to be one of the best gold mines in the world. So it’s very important to Barrick’s growth profile as it is to our own growth profile. So we are pretty comfortable with everything that they have done going forward and we think that based on everything we hear out of Barrick, we are happy with the path that it’s taking right now and confident that it will be up and running before the end of 2014. With respect to the government issues, there is a protocol agreement between Barrick and the government of Chile and the government of Argentina that rally defines that whole relationship. And so we are pretty comfortable. Again, it was one of the things that gave us great comfort in terms of how this project was going to be permitted going forward. And so it dictates and governs the relationship between all three parties and I think does a great job in terms of moving this project forward. So we don’t see any of those issues. We think Barrick’s handling the government side of it very well and the protocol agreement sort of defines those boundaries. So pretty comfortable with what we are seeing there, John.
John Flanagan - Fundamental Equities: There is no problem in getting the remaining equipment in there and I have heard of problems in that regard? (inaudible) problems?
Randy Smallwood: Yeah, the bulk of the mining, again, and I don’t want to into great detail on the protocol agreement, but the bulk of the mining actually takes place on the Chilean side of the border. And so with respect to mobile equipment and such like that, I don’t see any of the issues that there is an asset that is holding within Argentina, may be facing.
John Flanagan - Fundamental Equities: Thanks, Randy.
Randy Smallwood: Thank you, operator. If you have no more questions thanks everyone for dialing in and I can assure you our fourth quarter looks like it’s going to be a good one. So thank you very much for dialing in and we will talk to you soon.
Operator: This concludes this conference call for today. Thank you for participating. Please disconnect your lines.